Fernando Fernandez: Good morning, and welcome to Unilever's third quarter trading statement. Thank you for joining us. All of today's webcast is available live, transcribed on the screen. I will be joined by Srini Phatak, who took over as acting CFO in March. Srini has been a key partner for me as Deputy CFO and Group Controller, having previously been a very successful Hindustan Unilever CFO. I am sure you will enjoy your interaction with Srini in the near future. It is a great honor to speak to you as CEO of Unilever. As this is my first quarterly announcement since becoming CEO, let me address upfront the question of the recent leadership change. As I have said on a number of occasions now, this was a forward-looking decision by the Board, organizationally, strategically and operationally. We have made significant developments over recent years, all of which are helping to make Unilever a stronger, better performing business, well prepared to face the future. Underpinning these big moves, there has been also a renewed focus inside the company on performance and execution, the effects of which we see reflected in improving competitiveness and improving results. In short, the fundamentals of the business are strong, and we have good momentum. For the next phase of our transformation, our task is to make Unilever a world-class company in terms of brand demand creation and market execution in a consumer goods environment where the traditional models of reach and persuasion are gone. These are the areas in which I have focused for most of my career with a proven track record. In taking on the role, I have made clear that I will be a frontline CEO, driving the company to look outward and forward. What does that mean in practice? It means a ruthless obsession with the consumer, focusing on what it takes to drive demand and create desire at scale for our brands in an increasingly digitized world where consumer choice and expectations are greater than ever before. It means portfolio quality over portfolio scale, making sharper capital allocation choices to organically double down on our most profitable strongholds while enhancing the portfolio through disposals of nonstrategic assets and bolt-on acquisitions in premium segments. It means building a marketing and sales machine that ensures the quality of our execution consistently matches the increasingly world-class quality of our innovation. It means completing our productivity program ahead of plan and establishing productivity as a habit to fuel investment behind our brands and build a virtuous circle of growth. And it means recapturing the spirit of pioneering that has defined Unilever for so much of its existence, but which, in recent times, we have lost by allowing ourselves to become too inwardly focused. These will be just some features of the frontline company that I intend to lead over the years ahead. Of course, as we look ahead, market conditions are likely to be volatile and uncertain with the global economy probably operating below its long-term potential for some time to come, but we are well prepared. The delivery in the first quarter of the year gives us confidence, putting the business on track for full year results in line with our guidance of 3% to 5% underlying sales growth. This confidence is based on several reasons. First, we have a resilient portfolio, good momentum, and above all, a very clear sense of what we need to do. Let me be clear. Top line growth with a strong volume contribution is and will be our absolute priority, whatever the economic environment. Second, we are putting a strong investment behind our brands as reflected by improving competitiveness and top line growth. Third, the quality of our innovation pipeline is the backbone of our top line growth. We see real evidence of this in the outperformance of our developed markets over the first quarter with premium innovations driving growth in both the U.S. with examples like Liquid I.V. and Dove Hair Care launch and in Europe with the likes of Persil Wonder Wash and Whole Body Deodorants. Fourth, we have taken decisive action to improve our position in key businesses like China and Indonesia. These are not quick fixes, but we are determined to stay the course, and we expect to see the benefit of the targeted interventions we have made in both China and Indonesia come through in results from the second half of 2025 onwards. And fifth, while the full picture on tariffs is still unfolding, our analysis suggests that at this stage, the direct impact on our business will be limited given the capital allocated in recent years to the U.S. and supply chains that are predominantly local. Of course, the wider macroeconomic uncertainty will pose some risk and challenges to consumer confidence. But as I have said, we have a robust and resilient business, well placed to outperform. I will come back at the end to sum up and touch on the outlook. But for the moment, let me hand over to Srini to take you through the first quarter results in more detail.
Srinivas Phatak: Thank you, Fernando. I'm very happy to be here today with you for the first time as Unilever's acting Chief Financial Officer. I joined the company in India as a chartered accountant and covered, over the past 25 years, all parts of the business and corporate finance, most recently, as Fernando mentioned, as the Deputy CFO and Controller, responsible for managing performance and stewardship for the group. I'm excited to partner Fernando to transform Unilever and drive significant value creation. And I look forward to meeting with you in the near future. That said, let's get into the quarter 1, 2025 performance. Underlying sales growth in the first quarter was 3%, a resilient performance in market conditions, which were, as expected, more challenging. Underlying volume growth contributed 1.3%, led by good performance of Personal Care and Beauty & Wellbeing. Price growth continued to improve sequentially to 1.7% as a result of higher commodity costs than in the prior year. Underlying sales growth of our Power Brands, which contribute over 75% of our turnover, was in line with the group at 3% with 1.2% from volume and 1.8% from price. The Power Brands continue to have the first call on incremental resources. They have the biggest growth potential, and we expect them to lead our growth. While our Power Brands in Beauty & Wellbeing, Personal Care and Ice Creams delivered good growth, there were specific reasons why others were weaker in the first quarter. Across Beauty & Wellbeing, Personal Care and Ice Creams, growth in our power brands was over 4%, led by premium innovations and a particularly strong delivery in developed markets. Many power brands in these businesses, including Vaseline, Liquid I.V., and Magnum grew well ahead of the Unilever average. Dove, our largest brand, grew over 8%. In Home Care and Foods, Power Brand growth was impacted by some specific challenges to some markets. Home Care's growth was lower in quarter 1 due to significant exposure to Brazil, where high real interest rates prompted retailer destocking, impacting Laundry more acutely. Additionally, exposure to China and Indonesia, where we are revamping our business, contributed to the slower growth. In Foods, Power Brands performance was affected by our Food Solutions business in China, which lapped a strong prior year comparator that benefited from the timing of Chinese New Year. Beauty & Wellbeing underlying sales grew 4.1% with volume at 2.5% and price at 1.5%. Growth was driven by a strong Wellbeing performance, while Beauty categories were softer due to the market slowdown. Our core Skin Care business grew low single digits, driven by volume. Dove and Vaseline performed strongly backed by premium innovations. This was partially offset by modest growth in Pond's and a decline of Glow & Lovely. Hair Care was flat in the quarter with varying performances by brand. Dove grew mid-single digit, held by a relaunch, which includes cutting-edge fiber repair technology, new packaging and design. Nexxus grew double digit, helped by the launch of its premium range. Our largest hair care brand, Sunsilk, was flat against a strong comparator, while Clear declined on the back of softer markets in China. Wellbeing, which accounted for around 18% of the business group in quarter 1, delivered another strong quarter, double-digit volume growth led by Liquid I.V. and Nutrafol. This performance reflects continued strength in the brand's core products and innovations as well as benefits of our selective international expansion. Prestige Beauty declined low single digit, reflecting the slowdown in the beauty market. This weighed on the performance of our biggest brands, Dermalogica and Paula's Choice. While K18, a premium biotech hair care brand, which we acquired in February 2024, and Hourglass, our premier color cosmetics brand, both grew double digit. Personal Care had a good start to the year led by Dove, which represents around 40% of the business group and the continued good growth of deodorants fueled by a strong innovation program. Underlying sales growth was 5.1% with 2.7% volume and 2.4% price. Dove grew high single digit with continued success from premium innovations coming across skin cleansing and deodorants. This included the Serum Shower collection and Whole Body Deodorants. Having seen strong results in North America, where they were introduced in 2024, we are expanding these ranges into Europe, India and other markets this year. Deodorants grew mid-single digit, as a strong growth in North America was partially offset by softer performances of Rexona and Axe that have a large footprint in Latin America. Skin Cleansing grew low single digit with positive volume and price. Dove Men Plus Care introduced a new range of premium naturals and relaunched its core range with updated packaging and design. This contributed to strong growth in North America and Europe. However, Lifebuoy declined due to challenging markets in Indonesia, China and in India. In India, we are addressing the decline by relaunching the brand with an elevated proposition for skin protection. In March, we acquired brand Wild, which further enhances our Personal Care portfolio in Naturals and Premium spaces. Home Care delivered underlying sales growth of 0.9%, driven by a 1% increase in volume. Growth was adversely impacted by macroeconomic challenges in key geographies. Europe grew high single digit, driven by the success of multiyear innovation platforms, including the expansion of Persil's Wonder Wash, which introduced new variants, Color and Sensitive. We are continuing to roll it out to more markets and expect it to become a EUR 100 million innovation in 2025. Comfort expanded the successful Botanicals and Elixir ranges. They utilize our patented CrystalFresh technology and bring superior fragrances to the fabric booster market. Commodity deflation, particularly for the powders format, resulted in negative pricing in 2024. Deflation has turned into inflation in 2025, and we are beginning to see a sequential improvement in underlying price growth. Our biggest home care category, Fabric Cleaning declined a low single digit, navigating challenging market conditions in its biggest emerging markets. These include retailer destocking in Brazil, a market decline in China, and increased promotional intensity and price reductions in India, where we are responding to international competition, trying to grow demand through pricing. Domestos and CIF grew well, benefiting from format innovations in power foams, sprays and creams. At the end of the quarter, CIF launched its new infinite clean range powered by probiotics that continue to break down dirt and grime for up to 3 days. Foods delivered a competitively resilient performance amidst slowing markets. Underlying sales growth was 1.6% in the first quarter with volume at minus 1.1% and price growth at 2.7%. Our 2 biggest foods brands, Knorr, with more than EUR 5 billion turnover, and Hellmann's with around EUR 3 billion turnover, performed well in retail. Knorr enhanced its global leadership in the bouillon and seasoning segments with new flavors, while Hellmann's grew mid-single-digit growth on the back of its premium and flavored Mayo ranges, which are now available in 30 markets. Knorr's growth in retail was partially offset by a softer foodservice channel. Our Unilever Food Solutions group was flat in the quarter. Sales in China, its largest market, declined against a strong prior year comparator that benefited from a later Chinese New Year. We remain confident in the strength of our foodservice business, in which we continue to expand our digital selling program and drive unique formats and sizes specifically designed for professional kitchens. In India, growth in tea and coffee was offset by a decline of Horlicks. Importantly, we continue to work on simplifying our Foods portfolio, anchoring it more on our Power Brands. We completed the sale of bouillon Conimex in April. After announcing the disposals of Unox and Zwan in December, we announced the disposal of the Vegetarian Butcher in March. All the disposals will be completed during 2025. Ice Creams delivered 4% underlying sales growth with 1.8% from volume and 2.2% from price. The performance in the first quarter reflects good momentum, driven by strong innovation and ongoing operational improvements across much of our business. These include enhancements to our go-to-market strategy, supply chain and promotional activities. They will strengthen our business and lay a foundation for continued improvements in the years ahead as an independent company. Magnum grew mid-single digits, supported by innovations such as the new Utopia range, featuring Double Cherry and Double Hazelnut flavors, and the expansion of successful platforms like Bon Bons, a bite-size premium format that meets evolving snacking habits. Ben & Jerry's grew mid-single digit, helped by the launch of a larger, more shareable size and new Sundae flavors. We remain focused on strengthening our operational model while navigating the challenges brought by significant inflation in key materials like cocoa. We run the business through the lens of our 5 business groups. However, we believe it's also important to provide some color on performance across different geographies. Developed markets, which accounted for 42% of the group's turnover, grew underlying sales 4.5% with volumes up 3.3%, the third consecutive quarter of growth above 4%. This reflected a strong performance in North America, led by Beauty & Wellbeing and Personal Care. North America grew 6.2% with volume up 4%, benefiting from multiyear transformation of our North American portfolio, which showed resilience during a period of declining consumer sentiment. Europe also delivered good growth, driven mainly by Home Care. Our strong innovation pipeline and increased levels of brand investment are evidence of our commitment to accelerate performance consistently in these important hard currency markets. Growth in Latin America, one of Unilever's strongholds, slowed to 1.5% with volume declining 3%. Extremely high real interest rates are prompting retailers to reduce their stock in the region. We have navigated situations like this in the past and, as always, are focused on protecting our leadership and boosting underlying sellout. In Asia Pacific, Africa, our biggest region, underlying sales growth of 2% was also subdued. Our Indian business grew 3%, driven by underlying volume growth in Home Care and Beauty & Wellbeing, while increasing market share during a period of modest market growth. We expect conditions to improve in the midterm, following recent fiscal and monetary stimulus. Our performance in Turkey was strong with double-digit growth driven by positive volume and price. Africa had a more muted start to the year with a softer South Africa. China declined high single digit as a result of the broad-based market weakness and the short-term impacts of actions we are taking to strengthen our business for the long term. We are shifting our portfolio towards premium and super premium segments through innovations in our Power Brands. We are serving emerging channels better through social first demand creation and setting up direct-to-consumer models, particularly in Beauty & Wellbeing. And we are transforming our go-to-market approach to serve smaller format stores in lower-tier cities, particularly benefiting volume for business groups like Home Care. We have redesigned the sales organization with separate sales teams and have leveraged digital selling tools for sales force and distributors to improve our reach. The transition to a tailored customer development organization and to a digital route to market takes time and required some corrections for stocks in some channels and categories. However, we are encouraged by the progress in line with our plans. Growth in Southeast Asia was muted as high single-digit growth in the Philippines was offset by a 6.6% decline in Indonesia. We're making progress with the operational turnaround in Indonesia, correcting misaligned pricing across channels, resetting stock levels in retail, and addressing long-standing portfolio issues. We have largely completed customer stock reductions and price harmonization. We are on track with the distributive trade digital transformation and with increasing the quality of our direct coverage through more and better stores. With an improved innovation pipeline and stronger operational foundations, we expect our businesses in both China and Indonesia to contribute to growth from the second half of the year. Let me now return to the performance at a group level. Turnover in the first quarter was EUR 14.8 billion, down 0.9% versus the prior year. Excluding the effect of M&A actions to further sharpen our portfolio, turnover growth in hard currency would be 1.8%, primarily driven by underlying sales growth of 3%. As a result of our portfolio actions, the net impact from acquisitions and disposals was a negative 2.7%. Acquisitions added 0.1%, driven by 1 month of K18, which grew double digit in the quarter. This was more than offset by a disposal effect of 2.8%, driven by Elida Beauty completed in June 2024, as well as Unilever Russia and our water purification business, all of which we completed in second half of 2024. The total currency movement in the quarter of negative 1.1% comprises a negative impact of 1.8% from euro strengthening mainly against the key emerging market currencies, most notably in Latin America and Turkey, and a 0.7% of extreme price growth capping in hyperinflationary markets. The currency volatility has been heightened by tariff announcements. We currently assess that the impact of tariffs on our value chain will be limited and manageable, driven by the localized and flexible nature of our supply chain. We are evaluating all options, including localization and changes to material specifications to minimize the impact. If necessary, we'll also resort to price increases. Our full year margin outlook takes into consideration the current expected impact of tariffs. Let me now turn to the separation of Ice Cream business, where we are well on track. The stand-alone business will be known as the Magnum Ice Cream Company. The demerger will take place in quarter 4. As previously announced, this will be via listing in Amsterdam, London and New York. The Magnum Ice Cream Company will be incorporated in the Netherlands and will continue to be headquartered in Amsterdam. We expect to complete the operational separation by 1st July, a complex process involving the legal entity setup, implementing the stand-alone operating model and preparing the carve-out financials. Unilever will report Ice Cream as a discontinued operation from the fourth quarter. Ahead of its demerger, the Magnum Ice Cream Company will host a Capital Markets Day on 9th September, and we hope that many of you will be able to join us on that day. With that, over to you, Fernando.
Fernando Fernandez: Thank you, Srini. Turning to the outlook. We reconfirm our outlook for the full year 2025. Our absolute priority is driving top line growth, and we expect underlying sales growth for full year 2025 to be within our range of 3% to 5%. We anticipate a modest improvement in underlying operating margin for the full year versus 18.4% in 2024, with half 1 and half 2 margins more balanced than in the prior year. The direct impact of tariffs on our profitability is expected to be limited and manageable. All this being said, we are conscious that the macroeconomic environment, currency stability and consumer sentiment remain uncertain, and we will be agile to adjust plans if necessary. With that, let me sum up. In this uncertain environment, we believe we are taking the right actions to drive progress in 2025 and beyond, but we are not complacent. We are aware of the external forces we know are creating risk, whether the current macroeconomic uncertainty, the indirect impact of tariffs, not least on consumer sentiment, or the prospect of heightened commodity cost and ForEx volatility. However, we have a robust and resilient business, well placed to perform under such conditions. And as we look ahead to the rest of the year, we have good reasons to feel confident. We have built a portfolio that is diversified across geographies, categories and price points, well positioned to respond to changing consumer demand patterns. We have what I believe is one of our strongest multiyear innovation pipelines in a long time, which we are landing flawlessly. This innovation program will continue to further improve our competitiveness. We are focused on brilliant in market execution, supported by an organization that is now much more agile, more focused and more accountable. The direct impact of tariffs on our business will be limited and manageable, although we will, of course, continue to monitor both the direct and indirect effects very, very carefully. And finally, we are confident we will benefit through the year from the targeted actions we have taken to improve our positions and drive performance in key emerging markets. It's for these reasons and more that we are confident, despite the current volatility, to reconfirm our full year outlook for 2025. Thank you for your attention. We look forward now to taking your questions.
Operator: [Operator Instructions].
Jemma Spalton: Our first question comes from Warren at Barclays.
Warren Ackerman: It's Warren here at Barclays. I've got a couple for you. The first one is about the organic growth acceleration story, Fernando. Can you maybe sort of set out the moving pieces around why you will accelerate in H2? And should we also expect an acceleration in Q2 versus Q1, I guess, pricing driven? But I just want to get that confidence from you around the Asia piece. I mean, why are you so confident on China and Indonesia? And then Latin America does actually improve. Just can you maybe sort of just set out the kind of moving pieces around pricing and the key geographies in terms of where you think you'll land on the organic sales growth for the back half and Q2? And then the second one is a bit more of a kind of a -- you talk a bit about, we will adjust our plans as necessary given macro, currency, consumer sentiment, quite an intriguing comment. Could you maybe sort of set out a little bit for us how much leeway you have on things like cost savings and pricing and other metrics that you might have in the locker, assuming the macro were to get worse, what could you do? I mean, could you push the cost savings beyond EUR 550 million this year? Are there other things that you could do on procurement in case the situation does actually deteriorate or we get a U.S. recession? That would be helpful.
Fernando Fernandez: Thank you, Warren. It's a pleasure to be with all of you in my first call as CEO. First of all, I would like to highlight where I am focused in the short term. And I feel there are 5 fundamental points. One is landing a very, very strong innovation plan. We believe we have one of the best innovation plan in many, many years. We continue investing competitively behind our brands. Our level of support in the first quarter is within the range of 15% to 16% that we have had last year. We have started with a good gross margin progression that allows us to continue investing competitively behind our brands. We are shifting resources decisively to our best growth opportunities. We are divisionalizing our sales force to ensure focus in our top 24 markets. And these are areas that we believe will continue improving our performance in the short term. We are pleased with the delivery in the quarter 1 in a context that has been difficult, uncertain. We have, of course, some comparator issues that, we believe, that will help along the year. In the case of Latin America, in the quarter 1 last year, we had 12% volume growth in Brazil, 27% volume growth in Argentina. These comparators will be better. China and Indonesia, in particular, that has been geographies in which we have been underperforming. I have had, with Srini, very, very thorough reviews with the team recently. We are very pleased with the progress that we are doing there. And we expect that these 2 geographies will contribute to growth in the second half of the year. Of course, we are very pleased with the performance in developed markets. I believe that many of you follow Nielsen data, and you see that we have done significant competitive progress in both in Europe and in U.S., and we expect this to be a feature of our competitiveness going forward. In terms of our comments in terms of adjusting our plan, we will not take operational decisions in a rush based on big swings in currency, but we are committed to deliver profit growth in hard currency. We confirm our ability to deliver around EUR 550 million of savings of our productivity program by the end of 2025. But of course, we are looking at other levers in order to ensure that we add flexibility to our plan in case that the economic circumstances get tougher.
Jemma Spalton: Our next question comes from Guillaume at UBS.
Guillaume Gerard Delmas: I have 2 questions. The first one, Fernando, on your plan to accelerate the group's growth action plan. I appreciate it's only been a few weeks since you've been appointed CEO. But can you maybe tell us the priority areas you've been and you will be over the coming weeks, focusing on and where you want to see a clear acceleration. And I guess from the outside, for us, where do you think these changes will be the most visible over the next few months? And then my second question is on the, again, very strong performance of your Wellbeing franchise in the first quarter. We've been starting to hear from some of your peers that the VMS category is maybe showing some signs of slowdown. And it seems maybe because it's a more discretionary category at a time when consumer confidence in the U.S. is deteriorating. So wondering here if you've seen any early signs of that? Or conversely, if you assume this current strong growth for Liquid I.V., Nutrafol will persist over the coming quarters?
Fernando Fernandez: Thank you, Guillaume. I have mentioned, regarding your first question, the, I would say, 5, 6 key priorities in the short term. I tend to divide my action plan in what I call short-term performance and long-term transformation. In the short term, I repeat, landing a strong innovation plan, investing competitively behind our brands, shifting resources decisively to our best growth opportunities, ensuring that the divisionalization of our sales force in the top 24 markets results in excellent market execution, completing the separation of Ice Cream by the end of the year, and delivering our productivity program in full and ahead of schedule. These are my short-term priorities. Over the medium and long term, it is all about building desirability at scale. And what I mean by that, I mean fundamentally improving the quality of our brands, combining science for superior functionality with a significant improvement in the aesthetics and sensory areas of our brands; very, very importantly, build new models of reach and persuasion for our brands; strong activity systems of what we call [ RSI ] in social media. I have mentioned the need of really covering every ZIP code with influencers and other people talking about our brand. In the last few weeks, I have spent a lot of time with my top marketeers defining what we call the 4V model of social media, variety of creators, volume, virality, and velocity of content. I'm really focused on that because the next stage in the transformation of Unilever is about creating a machine of demand creation, both in marketing and sales. So these are the short-term priorities and the long-term priorities I have. Of course, in the long term, I believe that one of the issues of Unilever is that we are really a federation of local and regional brands. I want to attack that, building a more coherent and consistent global portfolio, making U.S. and India the 2 anchors of our portfolio and radically simplifying our business from a geographical point of view, from a technology point of view, and from process point of view. So these are the priorities I have. I will be a frontline CEO of a frontline obsessed company. Regarding Wellbeing, we continue having very, very strong growth in Wellbeing. It's fundamentally a U.S.-centric business. We have not seen any significant slowdown in our brands, Liquid I.V., Nutrafol, and Olly that are the 3 biggest brands in our portfolio continue growing double digits and is a key driver of the growth of our Beauty & Wellbeing portfolio.
Jemma Spalton: Our next question comes from Jeff at BNP.
Jeff Stent: So 2 questions, if I may. The first one is on India, which is guiding for an EBITDA margin decline in the next fiscal year. I'm just wondering why that might not be, if you like, a continual state of affairs now given the sort of very strong disruption we are seeing in that market. So I guess the question is why is our EBITDA margins at Hindustan sort of sustainable at this level? And then the second question is just on the margin. you've sort of changed the wording saying your margin balanced H1, H2. Previously, you talked about the expansion being H2 weighted. Can you just elaborate on why the wording has been changed?
Fernando Fernandez: Srini, do you want to take this one?
Srinivas Phatak: Absolutely. Thank you, Jeff. Let me start with your second question from a Unilever perspective first, and then I'll come to HUL. I think there is no change in our stance. And I think Fernando has clarified, we are committed to modest margin expansion and we are absolutely bang on that. I think just to add some color, if you actually look at the base of last year, our margins in half 1 were more like 19.5% and half 2 was more like 17.5%. It had its reasons. It had its reasons because of pricing, of commodity being at its lowest, and the phasing of investments. All that we are calling out is going to be a more balanced position between half 1 and half 2 given the context in which we are operating. That's number one. Coming to India, I think it's important to really put it into context. It's a very strong business for us. It's a consistent performer for us, has been gaining shares for the last 3 years, and there is a lot to play for. When we really look at the macroeconomic environment there, there is no new headwinds for us. I think that's an important element to call out. And there are potential tailwinds. There is benefits coming from the government incentives, tax reliefs, lower food and lower oil inflation, and many, many factors which are playing to really not only drive core, but also to lead market development. We have strong positions in Home Care and Hair, where we will invest and accelerate. In some of our core, we have to address GAL, we have to address Lifebuoy, which in the short term will really mean that we need to invest behind these brands. And in some categories, we are seeing competitive intensity go up. And it happens. There are periods when the dials down, but the long-term economics of that market prevail, and we are well positioned to do that. And in defending some of these categories, we will be unblinking. There is only one place that we need to address, which is Foods, and we will do that. When we look at it in its totality, I think this is a market where we'll be unblinking in our defense. And when we get our growth engine moving up, we know how to really make money here and how really to drive earnings ahead of growth. So all in all, we are very confident, both on the growth profile as well as on the margin profile for India.
Jemma Spalton: Our next question comes from David at Jefferies.
David Hayes: So just 2 questions for me, one on Power Brands and Dove, and then one on Home Care. So on the Power Brands, I mean you're obviously growing in line, as you said in the quarter, with the group, which wasn't happening last year. It seems to be where the brands are sitting and the waitings. But I guess just to follow up on the questions about new strategy. Is there a bit of a relaxation of the amount of investment and focus in the Power Brands to be a little bit more even, so that the other brands aren't going to become a drain on performance. And I guess related to that, in terms of Dove, the huge success and investment that you had last year with the renovation of the brand, I think it was growing double digit all the way through last year. I think you said in the comments that it's mid-single digit now. That's kind of like a 50, 60 basis points lower contribution. Is Dove going to reaccelerate again through more innovation? Or do you see other brands? And can you call out which brands are going to step up to make up that sort of drop off in what is obviously your biggest brand? And then the second question on Home Care. Obviously, the emerging markets skew on Home Care has been a bit of a struggle, which you kind of talked a little bit about. But Europe has been incredibly strong since the beginning of last year with, again, very successful innovation and spending. But it feels like that's lapping now and the volume dropped off. So is that Home Care business likely to go into flat to negative volumes as you kind of continue to lap that rollout that you had of the Home Care innovations through last year?
Fernando Fernandez: Cool. Thank you, David. Well, first of all, we are very pleased with the progress that we are doing in the rest of our portfolio. If you remember, early last year, we were declining in the rest of our portfolio, and we have quarter after quarter, improving the performance in these brands. And we have always said that we will not neglect the rest of our portfolio, that is important. It's 25% of our revenue. That's close to EUR 15 billion, of which, of course, there are around EUR 2 billion that we plan to dispose at the right moment of time, but the other EUR 13 billion of revenue we consider an integral part of our portfolio. Regarding Power Brands, they continue and they will be the largest opportunity for our turnover growth and our profit growth. It will be the primary focus of our investment. We have had, in the first quarter, our Power Brands in Beauty, Personal Care and Ice Cream grew significantly ahead of the rest of the portfolio, but that was not the case in Foods and in Home Care. The main reason in Foods is that when you look at Power Brands, they represent around 60% of our food portfolio. But when you look at foodservice, they represent 95%. And the comparator was very, very strong in prior year for foodservice due to the Chinese New Year calendar. And that basically has had an impact, because foodservice was flat this year versus what has been mid-single-digit growth in the previous quarter. So that's the main reason why Foods Power Brands didn't grow ahead of the rest of the portfolio. Regarding Home Care, we are very pleased with the results that we are having with our innovation, particularly in developed markets. I feel, David, I see you publishing our shares in Europe recently, and you have seen that we are going from strength to strength. We are launching new innovation as we speak, particularly in the case of Cif Infinite Clean. We are very bullish about the progress that we are doing in brands like Domestos and Cif in Home & Hygiene. And of course, there has been a bit of pressure in emerging markets, particularly in Brazil, where, as I mentioned before, we have been increasing prices in the short term. And that basically, in the context of very significant real interest rates, has prompted some retailers to destock after they have seen the materialization of the price increases. We believe that the situation will improve with time along the year. So we expect our Home Care performance in emerging markets to be better along the year. There is another factor. In India, we have seen one of our international competitors to resort to significant discount, particularly in the liquid format. We have responded to that, and that also has weighted down our performance in Home Care. But as Srini said before, we will not blink when it comes to the defense of our position there. In the case of Dove, sorry, I forgot to mention before, our growth in the first quarter was 8.8%. It has grown mid-single digit in Health Care, but the core of that is in Personal Care. It's 40% of our Personal Care business. You have seen our Personal Care business grew more than 5%. Growth has been a fundamental driver of that. So we continue having excellent momentum in Dove. We have seen the results of some of our competitor brands in the same segment than Dove, and this is clearly a market outperformance of Dove versus key competitors in the segment where the brand competes.
Jemma Spalton: Our next question comes from Olivier at Goldman Sachs.
Jean-Olivier Nicolai: Just on Wellbeing and Liquid I.V., that was clearly a massive growth driver for the Beauty & Wellbeing division. Perhaps could you give us a bit more of an idea of what the plan is to stimulate the growth in core Beauty and if there is a big difference in regions there? And just following up on that division again, on Prestige Beauty, there was a small decline in Q1. Do you think you need more brands in that segment to get a bigger critical mass? Or are you okay with the portfolio you have today?
Fernando Fernandez: Thank you, Olivier. Let me start by talking about Beauty and then I'll mention a bit more about Wellbeing. I feel like our core Beauty business, when you exclude China and Indonesia, it grew 3.5% globally. So we believe it's a very, very competitive performance. Of course, in Indonesia and China, we are really resetting the business. We believe that business will make significant progress along the year. I feel Beauty also was a bit affected in Brazil, where our price increases in the quarter 1 were close to 7%. And as I mentioned before, in the context of high real interest rates, that prompted some destocking. Prestige Beauty -- I'm sorry, in core Beauty, some of our key brands, I mentioned that very, very strong baseline, growing double digit. It is one of our key brands. And again, in the skin care space, really doing very, very well. In the case of Prestige Beauty, we have seen a slowdown. We have not been immune to that. It's true also that we have lapped in a double-digit growth in the quarter 1 last year. But if you segment our portfolio in Prestige Beauty, our more expensive brands have performed strongly. So the likes of Hourglass and Tatcha have had double-digit growth in the in the quarter. We have suffered more in 2 particular brands, Paula's Choice in the entry price points of Prestige, in which we have seen some down-trading into masstige propositions, and Dermalogica that more than 50% of the business is in the professional channel, and we have seen some reduction of foothold in the professional channel by the American consumer recently. Regarding the portfolio, we are always alert. Market conditions now doesn't seem very conducive to really see significant targets of acquisition. We have a very, very clear set of criteria to go for acquisitions. We will respect that. And if there are good opportunities and good targets, we will go for that, because Prestige Beauty and Wellbeing are both core priorities for us in the future. Liquid I.V., Nutrafol, and Olly, as I mentioned before, growing very, very strongly in Wellbeing. Wellbeing is now 18% of our Beauty & Wellbeing business, and we continue seeing that business growing from strength to strength.
Jemma Spalton: Our next question comes from Tom at Deutsche Bank.
Tom Sykes: Firstly, just on the phasing of margin. To what extent was H2 over costed at all last year, given you obviously had such a high H1 margin and your targets for the year? And you've given the view of 15% to 16% A&P to sales in Q1. But would you expect A&P to sales to be relatively flat this year, A&P as a proportion of sales? And then just on the rollout of Project Sky, I think you've done that with maybe a large customer in North America this year. To what extent has there been any phasing of sell-in as you roll out that platform? And is that something to think about for the back half of the year at all, please?
Fernando Fernandez: Okay. Let me take the question on Sky, and Srini will talk about margin. We continue rolling out Sky program. It started in Mexico, it moved to U.S. Now it's moving into Europe. No impact at all in the phasing of our sales. So you can consider that absolutely neutral. But we believe it's a fundamental initiative to really grow categories with retailers. We are very happy with the impact that it's having with our main retailers in the U.S. and Mexico. I believe it's one of the fundamentals that I want to really roll out across more retailers globally in the next few months. But Tom, to your point, no impact in our sales of the rollout of Sky. Srini, on margin?
Srinivas Phatak: Tom, thanks for the question. On margins, important to call out a couple of elements. First half of last year is when we had a good carryover pricing, and we also saw significant commodity benefits. That was starting to equalize, and we were well aware of that when we had our plans for prior year. Important is we don't manage margins for a half. I think we start to invest behind our plans. And when we looked at our innovation plans, we saw a significant and a sequential step-up to our BMI in line with how we got our gap going and how we got our investments and our innovations going. So in the second half of the base year, we also saw a big step-up to our BMI investments. So that starts to give you a bit of a flavor of how this works. Actually, if you look at the long term, our margins have always been more equally balanced. What you see in the base year 2024 and 2023 to an extent is an anomaly from the long-term trend. Coming back to your question on BMI, we are absolutely committed to investing behind our initiatives. Fernando has reiterated that. While this is a trading update, even as we speak, we have increased our BMI in absolute money, and we will do that. We are committed to spending between 15% to 16% behind the right innovations. But what you're likely to see, we could shift resources depending where we have momentum versus where there could be less momentum in this current macroeconomic context.
Jemma Spalton: Our next question comes from Celine at JPMorgan.
Celine Pannuti: Well, 2 questions first. First, Fernando, I was surprised to hear that you said that -- I mean, I know you've said that before, you committed to hard currency EPS growth, but you also mentioned the volatility in FX and commodity. And maybe we could start -- I don't know if you said it, but what you expect to be the FX impact on Unilever for the fiscal year '25 at current spot. But could you elaborate on your comment on delivering hard currency EPS growth this year given what you guide on top line and margin and how we get to that bottom line growth? And then my second question is on emerging markets. Obviously, you mentioned some key major markets have been a drag in Q1 and should contribute to growth in H2. There is a comp effect and there's probably as well the underlying macro. And obviously, there is as well some question mark about the underlying or the secondary impact of the macro environment in those regions. So can you elaborate here as well on what do you think is within your control and give you confidence of that H2 recovery in EM, please?
Fernando Fernandez: Cool. Let me kick off with the emerging market question, and then Srini will take the profit in currency and the impact on ForEx. We are confident in the progress that we will make in emerging markets along the year. Of course, we have seen some slowdown, particularly in Latin America. The Brazilian economy was at 3.5% last year, is at 2% now. The Mexican economy has slowed down to below 1% growth. We see some Asian economies also slowing down. But overall, we believe that we have a very strong innovation plan. We have a portfolio that is very resilient in emerging markets. We have demonstrated in the past that the coverage we have in terms of categories, segments, price points really give us a lot of resilience, and we tend to get out of difficult economic environments with a stronger competitive position. So we believe that this will be the case in this year again. Of course, comps play a role. We have been resetting our business in Indonesia and China. As I mentioned before, the products are much, much stronger. In the case of Indonesia, in particular, we have really made significant operational improvements from August last year until now. We used to have serious issues of price conflict across channel. Now the price compliance is at 97%. The quality of distribution is improving. The service level has recovered, and we are really establishing a very strong digitization program that is being rolled out to more than 40% of our distributors already. Now we will relaunch most of our brands in Indonesia. The Social First program that we are putting in place, we believe, will be a key contributor to growth. The same in China, in which the grip of the company has improved a lot. So overall, through a combination of easier comparator plus significant improvements and interventions we are making in our operations, we expect the emerging market to get better along the year. Of course, the economic environment is a bit more difficult. Of course, we will have to adjust our pricing based on the impact that devaluation or currency swings are having, but that remains very, very volatile. In the last 15 days, we have seen swings of 5% to 7% in some emerging currencies against the dollar. So that's something that is very volatile, and we will not rush to take decisions, operational decisions based on that. Srini?
Srinivas Phatak: So I think you captured some elements. First is, look, we are committed to hard currency earnings. And I think it's a multiyear framework. That's the sustainable model, and we are absolutely committed to delivering that. Currency, given our footprint tends to be negative. In the past 10 years, if you look at the long-term averages, we had negative 2%. We had a similar one prior year. Even if you see quarter 1 for us, it was about 1.8%. And therefore, from a transaction perspective, we know how to handle this. We will manage it, whether it's through cost initiatives, whether it's through pricing, whether it's through our productivity, whether through mix. Therefore, we will continue to deliver on our growth and margins and manage that. I think what's important to call out is some of the translational effects, which is really what's also happening between euro and dollar, which are having a big magnitude. Fernando touched upon it. If you just look at the translational effects of some of it, end March, it could have been negative 2% on our business. By about 10th of April, it was more like 3.5%. If I were to look at 17th of April, it's upwards of 5%. These are unprecedented moves within a period of 3 weeks. It's important for us not to get swayed by some of these short-term elements. We will be focused on doing fundamentally what is right for the business. And I think we should wait for some of this to play out before we really think of any change to our operations or strategy. In essence, Celine, I think let's play this out. But overall, we are committed to our hard currency earnings, but we shouldn't really get swung by short-term movements.
Fernando Fernandez: Let me add to that, that we are very pleased with the progress that we have had in gross margin. We consider the 45% that we delivered last year as a structurally normalized level, and we are pleased with the delivery that we have done in the quarter 1. We continue having 4 fundamental levers of gross margin expansion, volume leverage, positive mix, procurement interventions in some key elements of the value chain for our bill of materials, and the net productivity and production and logistic costs. This remains the same, and we are pleased with the progress that we are seeing that all allows us to keep investing significantly behind our brands.
Jemma Spalton: Our next question comes from Sarah at Morgan Stanley.
Sarah Simon: I just had one question in terms of clarification. You've reiterated that you expect growth in the underlying operating margin. But when you talk about FX, you've said it will take 20 basis points off the underlying operating margin. So if FX rates hold where they are, are you basically saying margin on a reported basis is going to be kind of flat year-on-year? Just wanted to clear that bit up.
Fernando Fernandez: So as I said, look, this is where we don't want to get swayed into some of the short-term currency swings and movements. When you really look at a normalized basis, and that's where we were end of last year, when we were end of quarter 1, we are very clear that from an underlying operating margin perspective, we will drive that expansion, and we believe we can still do that. We just have to work through some of the operating profit levers, because there is a growth effect of ForEx and there is a margin effect of ForEx and current money, and we will work that through. To be honest, I think it's best when we will come back to you in half year, we will have more clarity in some of those elements to provide more color. But at this stage, just given the way we are working through, I think we are fine with the overall guidance that I've spoken about.
Jemma Spalton: Our final question comes from Ed Lewis at Redburn.
Edward Lewis: Just a couple of quick ones on North America. I guess the strength there is probably what we're going to expect to hear from peers. So just wondering whether there's any retail destocking that you could talk to or whether it's the channel mix of your North American business that's helping you relative to peers? And then I guess, just in terms of sort of early learnings on the rollout of the new business group-led markets and One Unilever market approach and also how you would assess the morale across the company, considering the elements of change that have been introduced over the past couple of years, obviously, with yourself, Fernando being made CEO?
Fernando Fernandez: Clear. Thank you, Ed. Regarding North America, I believe the performance that we have shown during several quarters now, I believe, is a reflection of the significant transformation that we have driven in our portfolio in North America. It's a portfolio now is close to 85% in Beauty & Personal Care with a significant contribution of Prestige Beauty and Health & Wellbeing. Overall, we believe this is structurally high-growth categories. On top of that, we have really made significant interventions in the organization with a U.S. for U.S. model. All the marketeers that are serving North America are now located in North America. Our teams, our leaders in North America are increasingly driving, jointly with customers, significant category market creation, value creation, and we are very pleased with the performance that we are having there. So it's just -- I have mentioned this several times before. This performance in North America is not by chance. It's a reflection of a fundamental transformation of the portfolio into more premium, more beauty, more personal care, a more focused portfolio with a significant contribution, not only from the acquired business, but also from brands like Dove, Vaseline, and even Hellmann's in condiments. In the case of the One Unilever markets, it's a very important part of our portfolio. It has started the year very, very well. It has delivered significantly ahead of the average of the company. We are radically simplifying that organization. They cover from market '25 onwards. So it's a very wide footprint, but it's a footprint that has to be simplified, radically simplified in terms of processes to ensure that they are only focused in marketing and sales. And this is what we are doing under the leadership of Reg Ecclissato. Performance has started very, very well in the year, and we are very confident about the prospects there. Regarding morale in the organization, of course, there has been a lot of change. I'm a great believer that the 2 organizing thoughts that we have put in front of our leadership, the first one around brands that I define it as desire at scale, and the second around people and organization, that I call it performance is culture, has landed well in the organization, and we are trying to reinstate in the company the joy of winning in the marketplace. We will be uncompromising on the talent in the bus. And we believe that morale is improving. Also, we are in the latest phase of the productivity program. 6,000 of the 7,500 exits has been completed already. And this, of course, helped because the team that is in the company is the one that will be there for the long run.
Jemma Spalton: Thank you. That is the end of our questions.
Fernando Fernandez: Probably, Jemma, I can wrap with a few messages. I believe that our quarter 1 was solid, and I would like to highlight also the 2-year top line growth CAGR at 3.7% with close to 2% in volume. We believe that this is a very competitive performance. We are confident in the delivery of full year plan based on the good momentum we are having, particularly in developed markets and the strong innovation plan that we are putting in place. We are conscious that our emerging market performance has to improve, and we have plans to deliver that. Driving top line growth with a strong volume contribution is our absolute priority. We will be ruthless on that, and we will invest in line with that kind of ambition. And as I mentioned during the call, we will not take operational decisions in a rush based on big currency swings, but we are committing to deliver profit growth in hard currency. With that, thank you very much. Good morning.
Srinivas Phatak: Thank you.